Albert Manifold: Good morning, ladies and gentlemen. I'd like to welcome you to our 2021 Results Presentation for CRH. My name is Albert Manifold, I'm the Chief Executive. And this morning I'll be joined later on by Jim Mintern, our CFO. And together Jim and I are going to briefly take you through the key headlines of our results for 2021. Now before we go into that, I just want to take a moment to talk to the nearly 80,000 people who have worked for CRH during the course of 2021. We had the continual challenges of COVID, trying to live lives in the most normal way the stop-start nature of what COVID impact upon our world. But all of you went about your life as normal as you could and help produce what was a really strong 2021. On behalf of your management team and your Board, I want to simply thank you for those tremendous efforts. I refer to COVID there. And of course we all hope we're in the end game of the challenges that COVID has brought to us. Let's see how that plays out. Of course in recent times, new uncertainties and new challenges have emerged. All I can say to you is that we as a senior team, most of us have been here for 20 years. And we have seen this country -- this company through some tough times, particularly the global financial crisis and the recent COVID challenges. And we're confident that we have the sensible nature to our lives, the maturity, the experience to see us through a navigate CRH through whatever choppy waters may be ahead of us into calmer waters. I should say this morning's presentation whilst I'm talking to you like this. There'll be some slides and presentations behind me. You can follow this presentation with an accompanying slide deck that's on our website and I'll be referring to those slides as we go through the presentation. So look we have a busy schedule this morning and just to give you a sense of the running order that we're seeing here. First and foremost, Jim and I are going to take you through some of the key numbers for 2021, and some of the key trends that were evident in our business during last year and see how they are moving forward and impacting on this year. We also want to take you through some of the way we've been positioning our business and repositioning our business in recent years and how that has changed our business. We're changing because construction is changing and how that has been impacted by our delivery of the solutions model that has been underpinning so much of the delivery in recent years. We're also going to talk about our investor update in April and to give you a better sense of what we want to talk to you our shareholders about to take you through our thoughts. Of course, we will talk about our expectations for 2022 and see how this year has started and how we expect it to evolve. And as usual we'll have questions and answers at the end. Now it's not quite normal questions and answers. We're still living in a virtual world at the moment. But later on I'm going to be joined on stage by Jim and indeed by Tom Holmes our Head of Investor Relations and they will be fielding the questions -- Tom will be fielding of the questions that you are sending in online to him and he will fill them to us during that part of the session. So if I can just move on and looking at slide 2 of those of you who are following us on the Internet. Just to talk about our year 2021. Look another strong year, another year of continued growth for CRH, some great numbers there. But for me the standout last year were two numbers; number one, the margin improvement, and the second one was the cash generation across our business. We turned $0.80 out of every dollar of EBITDA that we earned into cash and we deployed that cash quite sensibly across our businesses. We invested about $2 billion investing in developing our business through M&A and through expansionary CapEx. We returned about $1.8 billion through cash returns back to you our shareholders. And we finished the year with one of the strongest balance sheet we have had in our history. That relentless focus on generating profitability, turning it into cash and making sure we manage our balance sheet in a disciplined way has long been a part of the DNA of CRH and long may remain so. This morning we also announced the proposed dividend for this year of $0.121, a 5% increase on last year. And as most of you will have seen earlier this week, we announced the divestment of our Oldcastle BuildingEnvelope division for $3.8 billion and Jim is going to take you through some more details of that later on in the presentation. If I can just take you through some of the key financial highlights. As I said to you, a robust performance sales ahead by 12% and profits ahead by 16%. And it's very pleasing for me as Chief Executive of this business to stand and say of the key metrics that we manage; sales, profits, margins, returns and cash all heading in the right direction for 2021. But the key metric for me is margins. In a world where we faced significant cost headwinds, when almost everybody else was taking a step backward on margin, CRH was stepping forward. And that really is down to the heart of what we're doing in our business, the solutions model which makes it into much more of a price maker than a price taker. I'm very pleased to see as you can see on Slide 3 for those following online, again, the returns moving ahead. Few people want to talk about returns for the obvious reasons, but we never stop thinking about them. They're not where we want them to be, but we have been making progress and there's more to go there. If I can now turn to our two major markets that we're in and principally the first one, to North America, which makes up about 70% of our group EBITDA. And just to remind you of the franchise we have in that part of the world. Historically speaking, we were based in the Northeast, mid-Atlantic and Midwest part of the United States. In the past 15 years, we have had a strong push South and West as we follow basically population trends and economic growth. And now we find ourselves having a great mix, of stable cash flow generated in the Northeast and higher growth as we push South and West. As I talk about that Northeast part of the United States and I mean all the way across the Midwest, that really is home to the most intensive and extensive road infrastructure network in the world. Now they don't build too many new roads there but they have to do significant repair and maintenance, as a result of the really brutal North American winters. Those roads have to be replaced and repaired pretty much every seven years. CRH has over decades built up a fantastic franchise across that geography of 120 million people. We provide great service. We have long-standing partnerships with the states in that part of the world and we have multiyear projects that carry on year after year. That is really just a bond for us that business. It just keeps coming in. It's a great business. And of course, it helps us, as we push South and West chasing the higher growth aligning our business with the stronger growth areas driven by population trends movements and economic growth in the south and west. And now we find ourselves here again the number one building materials in North America. The number one building materials in the most profitable construction market in the world where demand is underpinned by three fundamentals. Strong population growth. The US population grows by about 30 million people every 10 years. Strong economic growth and crucially the money to pay for both public and private investment in construction. We have a balanced end user across our North American businesses. We are skewed more towards infrastructure. That's where we want to be both public and private. It's our core competence. We like large-scale complicated horizontal construction both above and below the ground. That has been underpinned in recent years by strong federal support and state spending. And of course, you will have seen in November of last the infrastructure and investment bill that was signed that committed a further $1.2 trillion to infrastructure spend in the United States in the coming years. That will increase the spend on infrastructure from the federal government by about 50% over the next five years compared to the previous five years. And that aligns very well with our solution strategy, complex complicated, specified, highly regulated, large awkward, horizontal construction is perfect for us to play because we don't just provide products or materials, we provide services such as design, planning, engineering that goes with it and that is at the heart of the solution strategy. If I can turn to the biggest business that we have, our Americas Materials business, which is significantly exposed to infrastructure delighted to see that sales and EBITDA were ahead in 2021 over the previous year. And volumes ahead in all products. But the story of this business is the margin, a business which is hugely exposed to energy costs. And we had very difficult headwinds last year and yet we still managed to move the margin ahead attesting to the fact that we have a different business model and we try to explain it by saying "We don't sell rocks anymore. We sell complete road systems." We exited that business last year with very strong backlogs and that has continued into the first quarter of this year. And as I stand here today on the third of March, our backlogs are well ahead of last year on the three key metrics for us, in terms of quantum dollar terms, in terms of the volumes of products and also the margin within those businesses. So that bodes well for a good start to 2022 in our Americas Materials business. On Slide 7, if I can move over to Building Products. Another continued strong performance by this division. This division is made up by three businesses. Our APG business, our architectural products business, which mainly is a US residential play for new and repair and maintenance. It provides products for the outdoor living space the backyard. We own that backyard. Now 2020 was a record year for APG until 2021 came because that also was a bigger year at a new record. That's the gift that just keeps on giving. It's a fantastic business. The second business we have is our Infrastructure Product business. And again this is effectively play on new infrastructure. This provides the products and materials that transport vital utilities around the United States. Principally, it's in around water, the transportation of potable water, wastewater, sewage around the US, but also about vital utilities such as telecommunications information technology largely underground, but also over-ground as well highly specified work, which is where we like to play. And the last business in our Building Products business is our OBE business. The one that we announced the disposal of on Monday, a very solid year on the back of a recovering non-res industry in North America. This is the ninth consecutive year this division has shown profit and margin growth. Now, that is not just happening because the industry is helping us or there are favorable tailwinds. That's happening because this business is absolutely the focus of our integrated solution strategy, which continues to deliver for us. But we'll talk about that later on. If I can move over across the Atlantic to our other main region, Europe. I said we're the largest building materials business in North America. We're also the largest building materials business in Europe and crucially, the largest building materials business in the high-growth Central and Eastern European markets. Last year, we saw resilient repair and maintenance business in three -- four key markets; France, Germany, UK, and Ireland and resilient residential spend across those markets. Happily we're starting to see Western Europe really becoming a hub for innovative sustainable construction in our businesses and the really good thing about this is that we can then communicate and transport this to other high-growth markets both in Central and Eastern Europe and the south and western part of the United States. It's easy to transfer that knowledge and understanding which is key to our solutions business. In Central and Eastern Europe, the two big markets of Poland and Romania again benefited from EU stimulus packages and again very good demand for residential construction. I'm delighted to see again in Eastern Europe a higher take-up for a more complex end-to-end solutions which are -- which we've seen in other parts of our business. Now, before I talk about trading in Europe, I must mention our businesses in Ukraine. We employ over 800 people across four locations in Ukraine from Odessa in the South Central and the Black Sea all across the West, the two big operations over there are Mikelive which is close to the Polish border and Kamenets-Podilsky which just closed the Moldovan Romanian border. Happily all of our 800 people are safe and away from the conflict zones. We are doing all that we can to work with them, work with their businesses, and work with their families to support them in any way we possibly can. For those who want to move west across the border, we are helping and facilitating the movement of them across the border. Up to this morning, about 60 families have moved across into Poland and Romania principally. And we are supporting them when they get across that border. And I know that all our thoughts are with them this morning in terms of the challenges they're faced with and indeed the future ahead. If I can move to the trading performance of our Europe Materials division in 2021. Again I'm very happy to see both sales and EBITDA ahead of 2020. But they should be because we had a big chunk lost out of 2020 as a result of COVID, but they're also ahead of 2019. So, we are ahead of pre-COVID activity levels in terms of sales and profitability. But also in margin. The margin we have performance in 2021 in the teeth of those cost headwinds is ahead of a pre-COVID 2019. So, when all else are going backwards, CRH are stepping forward. It's not just good cost control, it's not just commercial excellence, it's about our solution strategy that is embedded within our business delivering higher performance. And specifically, I call it within our Europe Materials business, we saw a really good infrastructure spend in France, UK, and Poland and pretty much residential was strong everywhere across our markets. So, that's just a brief review of our main markets. And now I'm going to pass it over to Jim who's joining me on stage who's going to take you through a more detailed review of the financial performance of our business in 2021.
Jim Mintern: Thanks Albert. Good morning everybody. I'm delighted to be here this morning presenting my first set of results as CFO. On slide 11, what we have here is an overview of our cash flow and our net debt position at the end of 2021. I think this slide is a really good example of how our relentless focus on cash generation and our disciplined capital allocation, has ensured a strong balance sheet at the end of December 2021. Moving from the left, we exited 2020 with a net debt of $5.9 billion. The cash inflow for 2021 was $4.2 billion. We converted 80% of our EBITDA into cash and we reinvested in the growth of our business. We also returned cash to our shareholders. We completed M&A activity 20 bolt-on acquisitions and net cash outflow of $1.2 billion that figure is net of divestment proceeds. We spent $1.6 billion on capital expenditure. And we returned $1.8 billion to you our shareholders and I'm going to go into a bit more detail on each of those in a moment. That all resulted in a net debt position at the end of December 2021 of $6.3 billion or 1.2 times net debt-to-EBITDA. That's one of the strongest balance sheets we've had in the history of CRH and gives us optionality for further value creation for shareholders into the future. I'd now like to talk about some of our acquisition activity in 2021. We completed 20 bolt-on acquisitions for a consideration of $1.5 billion. That represented an EBITDA, entry-level pre-synergies of seven times, which really highlights our focus on maintaining our strong financial discipline, which of course, has been a real hallmark of CRH for many years. Looking into a bit more detail on those acquisitions, the vast majority of the acquisitions were in high-growth markets in the South, in the West, in the Mountain West states of the United States. And they were in areas where we built out our integrated solutions strategy, adding complementary products and services, leveraging and building out filling in around our existing materials and products businesses in these same regions. Previously, we used to sell products but today, we are providing end-to-end value-added solutions to our customers. We're solving the problems they're faced every day. We used to sell rocks. Today, we are selling road solutions to our customers. We have lots of opportunities in 2021 for M&A activity. We have a strong pipeline as we enter into 2022. And I mentioned that we had significant financial capacity coming out of 2021. However, as CFO, I can tell you that whatever opportunities come our way we will remain disciplined and never lose our focus on shareholder value. Albert mentioned earlier that on Monday earlier this week, we announced the disposal of our Building Envelope business for an enterprise value of $3.8 billion. That represented a very attractive exit multiple of 10.5 times 2021 EBITDA and we expect that deal to close in the first half of 2022. The reason behind the divestment decision followed a comprehensive review of that business. As you're well aware, we have been active managers of our portfolio. We divest, we've reinvested and we continuously recycle the capital. And in fact, since 2014, we have divested $12 billion of our businesses at an exit multiple of 11 times and we've reinvested $18 billion at an entry level of eight times multiple. And as a result, today, we now have a narrower, simpler, more focused, and more connected business, which is a higher-quality asset base, generating higher growth, higher margins, better cash and crucially higher returns. I mentioned earlier about our strong balance sheet at the end of December 2021, we exited at 1.2 times net debt-to-EBITDA. And of course, that gives us optionality for further future value creation. When I look at it this optionality falls into a number of categories. Firstly, in terms of acquisitions, we continue to focus on the high-growth markets. We continue to look for opportunities to build out our integrated solutions businesses, which are connected into our existing material and products businesses in those same areas. We have a good pipeline of activity but of course, we're going to maintain our discipline when we consider every possible option. Looking on to capital expenditure, and particularly around expansionary CapEx. We spent $1.6 billion of CapEx in 2021. In 2020, with the pandemic, we had considerable uncertainty across a lot of our markets and we curtailed our capital expenditure activity. As we exited 2020, visibility improved in our business, and we were able to step up our level of capital expenditure to the $1.6 billion spend in 2021. A lot of those -- that spend happened in those same growth states. So Florida, Texas, into Arizona, out into California and as well in that solution space. And I was delighted to be able to support those projects, because some of those projects are some of -- they're the lowest risk high-returning projects we have within CRH. So I was delighted as I said to be able to see that tick up in CapEx in 2021 up to $1.6 billion. Also further optionality about returning cash to our shareholders. Albert mentioned earlier, we've proposed a 5% increase in dividend. That represents 38 years of a progressive dividend policy in CRH. We're in the current tranche of the share buyback of $300 million, which we'll finish no later than the 30th of March. And that at the end of December 2021, we had returned over $3 billion or almost 10% of our share capital to our shareholders. All of these acquisitions, the capital expenditure, the return of cash to our shareholders are crucially supported and underpinned by our structurally better business that we have today, which is delivering higher growth, higher margins and higher returns. I'll now hand back to Albert. Thank you. 
Albert Manifold : Thanks Jim. Jim talks there about a structurally better business. And that's the term we use in CRH, and we've used it for quite a few years. But what we mean by a structurally better business? How do we back up this claim? How do we measure on some of the key metrics upon which we should be judged? Well, let's go and look at some of those key metrics. First metric I want to look at is our EBITDA growth. Look at our EBITDA growth against our peers. Here we show our peers being our global peers the big cement guys that are out there. Our U.S. peers, we've got two major U.S. peers, I won't name them you know who they are. And it looks at the growth in our EBITDA on 2018 to 2021. Now I didn't arbitrarily pick this period of time. Actually I could have picked any period. You can go back and check it yourself. But here you can see, CRH has outgrown anybody else in our industry. So, okay, that's interesting to see. So you can buy growth, you can take on growth anyway you can be well positioned. How well are you running your business? How efficiently are you running your business? Well, let's look at the margins in our business. Look to the next slide. This looks at the expansion of our margin over the same period of time. Great performance by our global peers, almost 3% ahead. U.S. peers a little bit ho-hum, but CRH almost 500 basis points ahead. By investing in our business model, by investing within our business, by working hard every day, we have improved the efficiency of our business to bring that margin performance. How does it all end up? Let's look at the next metric. Look at operating cash. In the end it's all about cash. And here again you find CRH the winner. The good performance by both our global and U.S. peers very good, very impressive, but CRH ahead yet again. It doesn't matter what I pick. It doesn't matter the metrics. It doesn't matter the period. CRH outperforms. We have delivered superior value to you our shareholders. Now we know getting to the top is one thing, but staying there is something else. And CRH has no interest in being static in any way shape or form. We want to put more distance between ourselves and our peers. And let me explain to you, how we think we can go about doing that. CRH has been a changing business over the last decade. We have made great changes to our business model and to our structure. We have reshaped our business over the last 10 years. 50% of the business that we owned a decade ago have been sold. We've repositioned our business. We've disposed of the peripheral geographies and we are focused on our two core markets, developed world markets of North America and Europe. But importantly, within those markets we've geographically focused. We've pushed hard to the Central and Eastern European part of Europe where there's higher growth. We've pushed south and west across the U.S. with a strong population and economic growth. We've caught that rebalancing of our business between strong cash cows of Western Europe and Northeast United States supplements the high-growth businesses that we have in the east of Europe and the South and West of the United States. We become a narrower and deeper business. We have refocused our business on core areas of competence. We are less an intermediary supplier of base commodity materials. We have got closer to the ultimate customer, our customer and our customers' customer over the last 10 years. And as we've moved down that value chain, we have understood an awful lot more about our customers' needs and their problems. And that has allowed us to solve some of their problems for us by improving our offering. Sometimes it's about broadening out the product range. Sometimes it's working with them to make them understand how we can adopt our materials and innovate our materials to make their lives easier off-site construction, more complex construction, working with their designers and their engineers to make their life easier. And I can best express this by two of our major business our fastest-growing business. Our Americas Materials business 15 years ago principally just broke rock and sold rock a basic commodity. Well then we decided we want to turn that rock into asphalt. And in turning it into asphalt, we decided well maybe we should get involved in actually laying some of the asphalt. Excuse me. And having lay some of that asphalt our customers said to us, well look if you're providing the rock and the asphalt and you're building the road who's going to handle all the culverts and the water runoff? And how we're going to manage the on-ramps and the off-ramps and the bridges? And we got more and more involved in that. And now we are a complete supplier of the whole road solution to our major customers the federal government and the states in the United States. I look at our APG business, our fastest-growing business across CRH for almost 10 years. 15 years ago that was a business that basically sold gray pavers that were used for commercial or indeed industrial purposes. And then we started to think well maybe we can start making different colors in different shapes and different sizes and we can bring to the residential market. And then we worked with the two major big box customers Lowe's and Home Depots in North America to start branching out and broadening our product range to not just make pavers, but hardscapes and walling products and capstones and bark mulch and swimming pool products. So now our offering to our customer and our customer's customer is the complete range of products. And when we talk to the outdoor contractor who designs these and puts this in place, we help him design it for his customers. Again, it's a complete package. We have helped our customers by finding out what their problems were and adding value to our offering to them. And by adding value to our customers, we're getting paid for it. It is no longer any good to be a sole provider of base materials in the world that we live in. Quite simply you cannot run a business in 2022 with a strategy that was conceived in 1970 or 1980. You have to adapt to move on whatever business you're in. And our focus on solving our end customers' problems is at the core of how we're going to grow CRH for the next decade. We call the integration of materials and products and services, we call that Integrated Solutions. And it comes to life by some of the examples that I've explained to you. That evolving part of our business is responsible for about 65% of sales so far across our businesses and it benefits our customers, it benefits CRH and it benefits you our shareholders. And let me explain how it benefits those three important stakeholders. Let me first of all talk about our customers. I'm talking to this morning our investors, our owners, our shareholders. Actually I spend most of my time as my colleagues do talking to our customers. And we hear consistent teams coming back to us. They are coming under increasing pressure with regulations, specifications, ever-changing government policy. They're under pressure to become more sustainable to decarbonize to recycle more. They're under pressure to improve the quality of their construction to improve the lifespan and resilience of what they build. And at the same time they have to speed up construction. They have to clean up construction to reduce the impact of construction in the local environment. And all of this is -- has been on against background of we want lower costs and the construction of the fact that labor supply is tightening. Now government set vision and they set policy, but they never tell anybody what to do or how to do it. The contractors well their job is full. They're focusing on the complex matter of the construction process itself. And more and more contractors, designers, architects and engineers are turning to manufacturers like ourselves to collaborate and innovate with them on how we produce materials and products that can solve their problems and deal with the challenges they are faced with. I mentioned already we are the number on building materials business in North America. We're the number one building materials in Europe, the two most complex regulated markets in the world. Nobody has that breadth of understanding of the materials and products of the different end users the different geographic challenges or the climatic challenges that CRH has. We are the ones who are best-positioned to pull all that knowledge, across that breadth of end use, geographies business areas to put it together to find solutions for our customers. It takes solutions that ability that knowledge it takes our solution strategy right into the heart of our customers' offices as we help with them design the products that will build a world of tomorrow without destroying the world we have today. It's good for CRH. Solutions that delivers for CRH, because our two major markets are of course very heavily regulated. There are solid fundamentals of population growth economic growth and need money to pay for the business going forward. We're focused on our core area of competence which primarily are infrastructure and residential. They are both very heavy regulators and specified areas. There are policies that are enforced and are required to do business there on the provision of materials and how you construct and there is an ever-increasing focus on sustainability, resilience, increasing efficiency, lowering costs. And if you can tick the boxes on all of those issues, you will see increased demand. And companies that innovate and deliver and adapt to that changing environment will be rewarded with extra business. And we see that, as being high-quality growth and that's what has been behind the delivery for the last three or four years in CRH. And ultimately, this all comes together for you our shareholders. It brings benefits to you. You have seen the last three or four years, how we have delivered superior performance. By focusing more on the public purse, by focusing more on what we consider to be a resilient residential demand going forward for the next number of years, we think we have reduced the cyclicality of our business. But running a solutions business across the materials policy, it's a complex business. You need a different skill set to manage the different parts of the value chain. But CRH has always manage different businesses in different ways. And we have shown our ability to do that in recent years. And we're confident that, by the execution of solutions an extension of that business across our existing profile it will translate into higher growth in sales, profitability, margins and cash. Now, I can't leave the subject of solutions without talking about sustainability. Sustainability is at the very core of our integrated solutions strategy, and de-carbonization is at the core of our sustainability strategy. We have a long track record of industry-leading carbon reduction in CRH. Last year, we pulled back our 2030 targets back into 2025. And today, we're announcing new targets. We will reduce over the 10 years to 2030 our total emissions of CO2 by 25%. Let me be very specific. In 2020, we emitted 46 million tons in total of CO2 and we are committing this morning to reduce that to 35 million tonnes by the year 2030. It's a 25% reduction. I wish, I had time this morning to go through more detail on that. I don't. It would take about 45 minutes. But that's why we have set aside time in April at our Investor Day to do that. And in April, we will explain to you exactly how we're going to do that, when we will achieve it, what will be the cost. All of these plans have been verified by the SBTI to 2030, and take us in line with our overall ambition of being a net zero carbon company by 2050. Now, there's a lot more to sustainability than decarbonization. It's also important to talk about circularity and indeed the products that, we make that will build a more sustainable world. For a decade, CRH have been focused on circularity. It's a deeply embedded part of our business now. I stand here this morning with great pride to say to you. I'm the CEO of a business that, is the largest recycler of any product in the United States. We recycled – that nobody recycles more – plastic or paper or cardboard, we recycle more building waste than anybody else. We recycle more product than anybody else. Well, what do we do with it? Well, we're also the largest road builder in the United States. And today the roads we're building 25% of all roads are being built with recycled material. It took us a decade to get there. It's progressive work. It will increase in the years ahead. But by using recycled material in the building of roads, we are protecting and preserving the scarce resources that are out there. And of course we are extending the vital expensive reserves that CRH owns. Also 100% of all the products we make are recyclable. Now, we have invested over the last decade over $1 billion within our businesses on innovation. A lot of it has been focused on increasing sustainability. A lot of it has been actually responsible for delivering the solution strategy that's delivering for CRH today. And we will continue to do that going forward. However, additionally, we have setup a $250 million venture fund, specifically to commercialize some of the really good projects that we have up and running within our businesses to commercialize them more to see exactly how we can get them to market that can contribute not just to our business, but also to the sustainability agenda for our industry. If I can leave you with three key thoughts, how we think about sustainability in CRH. We are committed to producing the materials that we produce in a more sustainable way. We are also committed to innovating and producing products that will enable our customers to construct in a more sustainable way. It probably means more off-site manufacturing and more industrialization. And crucially, we are committed to innovating and manufacturing products that would help us all live our lives, in a more sustainable way. And we will talk a lot more about that, when we talk in April. The reason why we've asked for this investor update in April is because we want to have a mature conversation with our shareholders. We want to take time outside of the very busy reporting window we find ourselves in at the moment and take an opportunity to expand on the key components of our integrated solution strategy. There's no big reveal here. This is about a mature conversation to explain to you, how we are going to deliver more value to all stakeholders in CRH. And how we place sustainability and in particular decarbonization and circularity right at the core of our strategy. We'll also set out, how our portfolio is going to evolve in the decade ahead. And how we are going to allocate the fruits of our work, -- the capital to maximize value for you, our shareholders. Now, the format of the Investor Day is shown on slide 27. It's a live Webcast. Myself, and Jim will be there. We'll be joined by Randy Lake, our Chief Operating Officer. It will be on at 9:00 a.m. East Coast time 2:00 p.m. GMT. And we'll take about 60 minutes to discuss our plans and our thoughts. And we'll have plenty of time for Q&A afterwards. I'm sure you'll find it very interesting. I look forward to updating you on that. So with that, I'd just like to conclude this part of the presentation, by talking about our outlook for 2022. You've heard me talk about the fact that we've had a strong start -- strong finish to the year. We've also had good order books. The momentum in our businesses is good. Demand is there. So we look forward with positivity. Of course there are challenges. There are a, challenges with regard to cost. There are challenges with regards to the uncertainty of what's going to happen in Central and Eastern Europe. However, we will have a strong focus on the matters that we can control, our costs, our commercial excellence and we'll keep focused on our cash. And we'll update you again, when we speak to you in April. So with that, that's the end of the formal part of the presentation this morning. What I'd like to now do is move to Q&A. I'm joined here by Tom Holmes, our Head of Investor Relations and Jim. And together, I guess, for the next 25 or 30 minutes what we're going to do is just take your questions that you have sent in to Tom and answer them in the best way we can. Tom?
A - Tom Holmes: Good morning. Hi. Thanks Albert. Good morning everyone. So as Albert said, this morning's Q&A session will be moderated. I will take the questions that have been coming through over the last hour or so. I'll address them here to Albert and Jim on stage. Please continue to submit your questions over the Webcast portal. And we'll get through as many of them as we can. [Operator Instructions] There's a lot of overlap and recurring themes in the questions coming through. So hopefully, a lot of them will be addressed over the course of our conversation this morning. If not, if there's any outstanding questions at the end of the session, the IR team and I will be happy to follow-up with you directly over the course of the day. So, to kick us off, Albert, Jim I have two questions here from Robert Gardiner with Davy. The first is can you please quantify the impact of rising energy costs in 2021? And what are your expectations for 2022? And second is can you explain the strategic rationale behind the divestment of your Building Envelope business? And what are the implications for your integrated solution strategy going forward?
Albert Manifold: And maybe I'll take both Tom. Well maybe I'll pass the impact of energy on 2021 to Jim later on. First of all, good morning, Bob, I hope you're well. Let me deal with the disposal of Oldcastle BuildingEnvelope first and then come back to our energy issue. Look BuildingEnvelope has been part of CRH for about 30 years. It's a very fine business. We built that business up by acquisition and by geographic expansion, primarily within the United States. But we have become a very, very big gorilla in a small space. We began – we owned that space. And in CRH, as you know, of course we're very focused on operational performance. But actually, we created about two-thirds of our value for our shareholders through the acquisition process directly or indirectly. And that business was – we had a – we bought a very big business in 2015 C.R. Laurence and that was the last big business we bought in that space. Because actually we're running out of optionality to buy businesses. And if we have no M&A opportunities, we actually tie one hand behind our back. Secondly, that was a business that was focused on the glazing market. Our customer was the glazer. There were no other products we could sell to them. I've already talked this morning how our focus is on customers. We could do no more for them. We could sell more but then we were just an organic growth play and CRH don't really have too much interest in just being an organic growth play. And the last reason was that it didn't really integrate with our core competencies in and around a strong heavy complex infrastructure public or private or indeed residential as well. It was a non-residential business. And when we looked at the opportunities to be able to deploy that capital elsewhere in what we're a business that did sit within our core competence. That did offer us acquisition opportunities. It was actually a decision where we said let's go and test the values and see if we could crystallize the value we have now to deploy that capital elsewhere. And that was the rationale just sensible portfolio management. With regard to energy costs you've asked me about what we see about energy dynamics in 2022. I don't know. All I can tell you is that we manage the really brutal energy cost increases during 2021 quite well. Our margin went ahead so we did manage it well. And all I can tell you is we keep an eye on the process very careful. We've seen energy costs up 35% since the start of the year. But remember we have natural hedges in place. We buy forward. We have our bitumen winter fill program. And we watch very carefully our use of fuels and we have a constant switch away from fossil fuels as well. So we're confident that we can manage them as best we can. Let's see how the year evolves and I'll probably talk to you about more knowledge and understanding, when we talk in August of this year. With regard to energy costs in 2021, Jim?
Jim Mintern: Sure. Good morning, Bob, as you know typically our energy build tends to be we said in a range of kind of 9% to 11% of our revenue. In 2021, it was just a little under 10%. As Albert said about half our energy bill tends to be in the liquid asphalt on the bitumen side and we've always managed that business from a margin perspective. The other half tends to be doing electricity diesel, gas, et cetera. And typically heading into any year, we'd have about 60% cover in place and that's no – not any different heading into 2022. So when you look at that range of kind of 9% to 11%, I expect it to pick up towards the higher end of that range in 2022. As Albert said in 2021 crucially despite the very significant inflation kind of leveraging on our solutions business we were able to push on margins across all three divisions. 
Tom Holmes: Thanks, Jim. So Jim just a quick one. I see here the post-tax proceeds for the BuildingEnvelope divestment. Any thoughts on that? 
Jim Mintern: Yes. We announced Monday. The total enterprise value of $3.8 billion for the divestment of Building Envelope. That included some assumed leases of about 350. So the net cash is about $3.45 billion net of tax a shade under $3 billion.
Tom Holmes: Next question here is from Gregor Kuglitsch in UBS. Two questions here. First one given the strength of the existing balance sheet and expected proceeds from Building Envelope, what are your intentions for redeploying this capital? And the second is can you detail how you aim to achieve the 25% reduction in carbon emissions by 2030? Can you elaborate on the additional costs or CapEx to achieve this?
Albert Manifold: Again, maybe I'll take the first here. Jim you might go back to you on the CapEx cost for that Tom. Gregor, good morning. I hope you're well. I take the CO2 reduction question first and foremost. Look, we're going to take the time in April to go through that in detail but it's primarily focused in three or four key areas. First and foremost, it's within the process. We're ongoing working on our process within all of our factories not just our cement business but also our aggregate concrete, concrete product facilities to decarbonize that. And again, that will be part and parcel of it. Innovating new materials, working with our customers to produce less carbon-intensive materials. Of course, there's expenditure -- there's capital expenditure to invest within our business. And of course, crucially is the area of fuels, not just the fuels we consume ourselves moving more to biomass and greenfields, but also the fuels that the energy that we buy in. And that's the primary areas of where our focus will be. Again, we'll take you through that in detail when we come forward in April. I'll go to Jim in a second with regard to the cost of that. Just with regard to the deployment of the capital that we have. Look I think you just have to trust CRH and trust the system. Over the last decade, we've sold $12 billion worth of businesses and we bought $18 billion worth of businesses. As Jim mentioned, the $12 billion that business we sold, we sold them at 11 times EBITDA and we bought business at 8 times EBITDA pre-synergies. So we have targets in mind, yes. It's a long list. Is there a big expansive huge deal we're going to do? No, we don't do that in CRH. Ours is an industry that is replete with fragmented smaller businesses. And what we will do is we will continue to gobble up those business, because when we buy smaller businesses, we see opportunities to create value in doing so. So it will take time, but we will reallocate that capital back into our business to create value for our shareholders. And we'll see how it goes during the course of this year and next year. Jim, with regard to the CapEx cost.
Jim Mintern: Good morning, Gregor. Yeah. Gregor, this is I think our fourth target that we've put out there in terms of carbon reduction. So -- what we have in place is a very clear process, location built up, location by location across the group in terms of how we're going to get there. We spend typically about -- in 2021, we spent $1.6 billion on CapEx. In 2022, we forecasted a little increase to $1.7 billion. Looking out in terms of the CapEx required to achieve that target, it's not a material step-up on that kind of level of CapEx $1.6 billion, $1.7 billion per year. However, I can assure you that all those projects that are required to deliver will again be looked through that same lens that we do for all capital projects. So in terms of returns criteria. So they will also earn a return on those investments.
Tom Holmes: Jim, there's a follow-up here on CapEx. CapEx for 2021 coming in higher than expected. Any thoughts on that?
Jim Mintern: Sure. Yeah. CapEx came in at $1.6 billion, as I mentioned earlier the context of that. We were able to pull forward some of that expansionary CapEx in some of those growth markets and again in our solutions businesses. So -- and as I said in around kind of Florida, Texas into Arizona, we have opportunities in terms of fast-growing markets and in terms of building out our capacity because the demand was there. So delighted to be able to support them, Tom. As I said, some of the lowest risk highest returning projects we have and we can get those kind of projects. So that explains the little tick up we were able to pull it forward.
Tom Holmes: Great. Next question here is from David O'Brien in Goodbody. The reshaping of the business in the last eight years has been very significant. Are you satisfied with your current portfolio, or should we expect further evolution from here?
Albert Manifold: I just said CRH is never static. We're always moving, not because we want to move because we must move. Our markets are constantly changing. Your markets are too. And we are anticipating those changes and guiding our business where those markets are going to. So yes, I do anticipate to continue to work on our portfolio. It should be. But the reason for that is that we want to develop a better business, a more profitable business and more cash-generative business, a business with higher growth. And we see the way our world is going. Our world cannot continue to build the way it's been built today, two billion people will arrive on this planet over the next 30 years. Where are they going to go? We just cannot afford to construct the world that will accommodate two billion people the way we're currently billing today. We're going to destroy the planet. So sustainable construction has to be the way forward. And companies like CRH are right in the center of developing sustainable construction products and materials. And that's why we'll continue to evolve our portfolio. And that's why we'll continue to evolve that portfolio in the developed world because that's where the change will start. So yes, the portfolio work will continue, but you would expect it to do so.
Tom Holmes: Thanks, Albert. Another question here from Arnaud Lehmann in Bank of America. What is the outlook for pricing in 2022 in Europe and the US? And do you expect to be able to cover cost inflation?
Albert Manifold: Okay. I'll take that one again. Pricing, Arnaud, look at very top of the question. I'm sure that question has been asked to every one of my CEOs of all the peer companies out there and you've heard the responses and so have I. As a response to the very significant cost increases, there's a strong need to get good pricing in the marketplace. And I endorse that comment I think there is too as well. We have been subject to some very challenging cost input in 2021. But our business is not just about pricing on and you can see that. Most of the businesses who are talking about pricing have taken a step back with regard to their margin. CRH didn't. And you have to ask the question why is that? We're not smarter than anybody else. There's no special colleges for pricing that we went to that no one else went to. It's our business model. It's different. We're becoming because of the solutions because we add value to the materials of place we sell and make our customers' lives easier. We get paid more for that. So pricing and a continuation of the solution strategy is how we insulate ourselves against cost headwinds and develop our business going forward. How that's going to play out in 2022, I don't have a crystal ball. All I can tell you is if you judge us on our track record for last year where energy prices went up by 65%, we had margin improvement. Again as I said earlier to Bob I'll tell you with knowledge when we stand in front of you here at the half year. 
Tom Holmes: Great. Thanks. A lot coming through actually on US highway funding and infrastructure generally around the theme of when do you think it will translate into higher activity levels. That's been the main one. Any thoughts on that Albert? 
Albert Manifold: Again maybe I'll take that. Look there has been a very supportive environment for federal funding and state funding for the last couple of years on the back of quite good economic performance in the United States. Of course you're referring to I think to the November statement that the bill signed on the Infrastructure and Investment Bill for a further $1.2 trillion investment in infrastructure. And there's no doubt that will supercharge investment for the next five years.  I should mention of that $1.2 trillion CRH will be a significant beneficiary. Our top 10 states account for over 30% of all of the dollars being spent. $350 billion will be spent on roads. However, another $200 billion will be spent on infrastructure for water, telecommunications and IT again which plays right into our Infrastructure Products business as well. So really almost about $550 billion of that $1.2 trillion will go to the areas that we're focused on. So that should see strong growth. In fact we anticipate the spend in the next five years as I said earlier being up about 50% over the last five years. So significant growth going forward with regard to that. With regard to the timing of when it comes through look, we are working now our backlogs related to projects that were awarded and planned last year. So if you have a large infrastructure project you've got to get permission, you've got to design it you got to plant it you got to tender it. All of that takes time. There's probably somewhere between a 9 and 18 month lead time on those projects. So we don't anticipate any of the funding for the $1.2 trillion that you may be talking about hitting our business until the earliest the very end of this year probably start to come through in '23 and '24 will be the big years that benefit from it but not really that. This year is already set based on last year's funding. 
Tom Holmes: Another two questions here from Paul Roger in Exane.
Paul Roger: The first is on the outlook for US asphalt margins in the context of higher oil prices and could there be a lag between higher bitumen costs and the mitigating price rises as a result. And the second one around the likelihood of large acquisitions in 2022. 
Albert Manifold: Okay. Not 15 questions today only 2. I'm sure the 13 are following tomorrow morning with your note. I'll pass the comment on margins to Jim now in a moment with regard to asphalt. Look the likelihood of big deals. The only likelihood that of those deals in CRH is value deals. Whether they're big or small it will all be about value. Because that's the history of CRH. We don't need to go out and do big blowout deals. If I look at our industry in North America about sort of 15% of the industry is across the top five players. 85% is fragmented and unconsolidated. If you look at the deals we did last year $100 million $200 million $300 million deals businesses that no one ever heard of before and there is a long list of deals ahead of that both in Europe and the US. So I don't really think there will be a big blowout deal by CRH not unless there's extraordinary value out there. Obviously, we keep our eyes open something could happen. But likelihood is it will be a continuation of the strategy of CRH that you've seen over the last two to three decades. Margins? 
Jim Mintern: Yes. Good morning, Paul. In terms of asphalt margins when we look at the asphalt margin we look at the whole chain Paul. As we said we would look everything from the aggregates into the liquid asphalt into the asphalt into the paving and into the service. I think the service in others. So when you look at 2021 as we said in the business overall we managed to push margin down 20 basis points in 2021 specifically around the question of on the lag the majority of our states that we -- where we pay in the US are index link stakes. So they're linked -- the pricing is linked back into the price of the liquid. There can be a lag sometimes. But however, you see what we were able to do in 2021 still able to push on the full margin along the value chain from that perspective. 
Tom Holmes: Great. Another question here from Elodie Rall in JPMorgan. How do you see US residential demand evolving in 2022, given likely rising interest rates? And do you see a meaningful recovery in non-residential demand which could offset this?
Albert Manifold: Hi, Elodie. Good morning. I hope you're well. Look, with regard to US residential, actually US residential has been robust now for about three or four years. And I think there's a couple of reasons because of that. We went through almost seven or eight years of significant underbuild. Now, I can remember times when we had 450,000, 500,000 new homes being built for a number of years in North America and the United States in a market that requires probably 1.5 million to 1.6 million new homes every year, just to feed the market, so that has not been replaced that slowdown. Inventory levels, if I talk to homebuilders in the United States, which we do quite a lot. Actually inventories are at all-time lows. So with the demand that's there, with the inventory levels that are there, you can see it in the pricing. And demand is going to continue strong. Just look at the -- in terms of what's the plan forward. The forecast for this year is 1.7 million new homes. Currently, our run rate is about 1.6 million homes. So I think it's fairly robust. I take your point in interest rates, because of course we have to watch that very carefully. But Powell has been very careful about sort of taking a slower rollout of interest rates, but I don't want to get involved in that debate. Demand is good. We're working from historic lows. And I mean 30-year fixed rates are now just a touch above 4%. They haven't really moved up all that much in recent times. And we think that will be quite robust going forward for this year for sure. With regard to non-res we're starting to see a recovery in non-res. You will have seen the ABI stats for a number of months now, have been above 50. It's good to look at that regionally. But actually, sectorally, within that, there's a little bit of a change that's taking place. We're seeing perhaps that retail and hospitality is not moving forward as it had in the past, hardly surprising. But the real growth is coming in data centers, warehouses and indeed medical. And that actually plays to our sweet spot, because data centers and warehouses are complicated buildings to build, large spans, large pre-cast units, large footprints, significant amount of stone and again plays to our solutions of specified regulators, air-conditioned, heating, all of that must be highly efficient buildings. And again that's a strong growth area for us again. So good to see the non-res coming back, but specifically coming back in the U.S. in those sectors and specifically down South and out West.
Tom Holmes: Thanks, Albert. A couple of overlapping ones here. Maybe just two briefly one on UK, backdrop in the UK at the moment and also the Eastern Europe general exposure to the area and any concerns on activity levels going forward.
Albert Manifold: Okay. Well, maybe I'll talk about the UK and maybe Jim you might give some dimension on our exposure to Eastern Europe. Maybe just give us an oversight and overview in terms of how we think about Eastern Europe at the moment, given what's going on there. First of all, in the UK, I mean, since the Brexit vote in 2016, we saw really a reluctance and a pullback on the Exchequer to fund some of the well-touted infrastructure projects that they had heretofore planned. And happily we're starting to see in 2021, at last, some of those projects, specifically High Speed Two coming to the fore and that's feeding the industry and benefits our business. And also happily, the counsel and the boroughs within the United Kingdom are getting a good level of funding from the UK Exchequer. And again, that's helping small-scale infrastructure. And that has really -- combined with a strong residential market, by the way, has really driven the performance of our business in the UK. I should say, we significantly reshaped and repositioned our business post-Brexit, because we could see there was a different demand environment evolving in front of us, even before COVID than we had thought before that. And that lower cost base that tighter business in around specific areas has also benefited our bottom line performance. And maybe before I ask Jim to talk about the dimensions of what we have in Central and Eastern Europe and indeed maybe Ukraine. I just want to talk about our own view in terms of what's happening in Central and Eastern Europe and how it affects our ability to think about that part of the world. Our own sense, well, first of all, I think we're all horrified about what's going on there. But our own sense is that, this is almost like an event, it's a catalyst that is going to pull Europe together culturally, socially and economically. And therefore we will see a continuation of the rebalancing of wealth through Europe, which is happening through the stimulus packages that are going to Central and Eastern Europe. So it will accelerate the development within Central and Eastern Europe, obviously, Poland, Romania, Hungary, Czech, Republic, Slovakia and indeed down into the Balkans should be significant beneficiaries of that as well. So we think it will redouble our efforts as Europeans to become more unified in the challenges we're faced with. With regard to our exposure there, Jim?
Jim Mintern: Sure. In Eastern Europe and taken all the way from Finland, right down to our business in Romania, we generate about $600 million of EBITDA across that Eastern Europe flank of the business. Very strong growth in 2021, building on strong growth in previous years really underpinned by strong infrastructure in that area and also good res demand also coming through. Maybe specifically on Ukraine, just in terms of scale, but we're in about Ukraine about 25 years in total and it's about approximately 1% of our business in total. 
Tom Holmes: Thanks Jim. One here from Cedar Ekblom in Morgan Stanley. To consider accelerating your share buyback program after the recent pullback in your price, maybe Jim one for you.
Jim Mintern: Okay. Yes, current tranche of the share buyback is $300 million. It will finish no later than the end of this month, 30th of March this month. We're now at an annualized rate of $1.2 billion in terms of a run rate, in terms of our share buyback program. When I look at share buyback, really looking at it from a capital allocation decision, I went through it earlier. We really have -- we look at options in terms of M&A, in terms of CapEx, in terms of our dividend and also in terms of the share buyback. We exited the year at a strong balance sheet position. But right now, in terms of the geopolitical uncertainties out there in terms of inflation, in terms of interest rates, I'm quite comfortable with our balance sheet from that perspective. So -- but any capital allocation decision that we will take will always look to that critical lens of shareholder value accretion decisions.
Tom Holmes: Great. Great. Thanks Jim. Just conscious of time for everybody watching on the line, we are up against it here a little bit with a busy schedule this morning. I might just squeeze two more in if we can. And as I say, if there's any outstanding questions over the course of the day, the team and I will follow up with you directly. Two others here have come up quite a bit actually this morning around pro forma net debt levels, now comfortably below one time following the Building Envelope divestment. What do we see as normalized levels? And then maybe just a brief comment on early trading and backlogs so far this year.
Jim Mintern: Yes. In terms of pro forma net debt levels, we said through a normal cycle, right? We're quite comfortable net debt-to-EBITDA of two. At the end of December, it's a point in time. It's 1.2 times net debt-to-EBITDA. As I said, just mentioned in the last question, quite comfortable at that level and that it gives us optionality going forward as to -- in terms of what shareholder value accretion decisions we will take. And in terms...
Albert Manifold: Well, maybe I'll just take that through the early trading. Look, we're probably a visibility to the end of the first quarter at this stage. Off to a good start quite frankly, messy winter in North America, but you know what it almost doesn't matter in January and a very, very slow in the construction season, maybe down the very south and out the very west of some activity levels. But the winters in America really don't -- they stop construction really till the end of March before we start going into business. So -- but as I said the answer is in the backlogs, we said the ahead of last year on the three key metrics, quantum, margins and volumes. So, we feel pretty good about that. An early season indication, we do have some canaries in the coal mine. Early season indications in particular in our APG business are positive. So we feel quite good about the US for the first half of the year. Europe is a different situation. We've had good weather in Europe for the first half -- first quarter of the year and again good momentum in our business continuing what we saw last year and again a good start of the year. So backlogs in both business is positive, good start in Europe. Okay in the United States. It doesn't really matter at this time here. So I think we'll be okay for the first half of the year, but we're going to update you later on.
Albert Manifold: Look, Tom has just said to you that we've come to the end of our time this morning. I know it's a busy day for everybody. A lot of people at results today. We're going to update you with a trading statement in April and we've also got an investor update on the 21st of April. I look forward to talking to you then. And until then, I wish you the best and stay safe. Thank you.